Operator: Good day, and welcome to the COGECO and Cogeco Cable third quarter 2014 earnings conference call. As a reminder, today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Pierre Gagné, Senior Vice President and Chief Financial Officer of COGECO and Cogeco Cable. Please go ahead, Mr. Gagné.
Pierre Gagné: Thank you very much. Good morning, everybody and welcome. So I have with me this morning, Louis Audet, our President and CEO. René Guimond our Vice President, Public Affairs and Communications; Andrée Pinard, Vice President and Treasurer; and finally, Alex Tessier, Vice President, Corporate Development. Before we begin this call, I would like to remind listeners that this call is subject to the forward-looking statements which can be found in the press release issued yesterday July 9, 2014 by COGECO Inc. and Cogeco Cable Inc. So I will turn the call to Louis for further comments before the question and answer session. Louis?
Louis Audet: Thank you, Pierre, and good morning everyone, and welcome to our third quarter review of Cogeco Cable and COGECO Inc. We are really pleased with the third quarter and the way it's been going, pretty much in line with the achievements of the first and second quarter. So let me begin with Cogeco Cable. In Canadian cable, we continued to experience good mid-single EBITDA growth as has been the case in previous quarters. We continue to successfully manage a balancing act to maintain customers at an acceptable level through bundling and retention strategy and generating solid financial results including through tight expenditure controls. We continue to expand the scope of our service offerings to small and medium businesses and recruit new customers. With regards to our new video platform, you will have noticed that in the third quarter, we have written off $32.2 million as we have decided to abandon our plans to create a new IPTV platform. But instead, I am really excited to announce that we will be launching the TiVo platform with which we are currently enjoying good success at Atlantic Broadband. We will be launching it in our Canadian systems and we plan to do so sometime in the first half of our fiscal year 2015. Turning now to U.S. cable. The TiVo product is now available to 95% of Atlantic Broadband's footprint and we are currently experiencing increased PSU sell-ins with - nonetheless it's still a little bit early to disclose any more information about this but as you can start seeing from the numbers it's headed in the right direction. EBITDA growth has been temporarily affected in part by the TiVo launch cost and other items but we expect to meet our value creation objectives by year-end. And we are stepping up our efforts towards the business market with more seasoned sales staff and supervision, which should lead to better results with the passage of time. Turning now to the enterprise services sector. Tony Ciciretto has included Peer 1 Hosting in his role as President and Chief Executive Officer of our enterprise sector in a smooth and seamless manner and both Cogeco Data Services and Peer 1 Hosting continue to enjoy solid double-digit growth and are adding customers of all sizes with emphasis on higher value customers. EBITDA weakness in the third quarter is temporary and essentially attributable to various onetime items and to an accounts receivable cleanup that we believe to have been essentially completed in this third quarter as we continue to implement C-198 controls at Peer 1 Hosting. And we are currently building phase 1 of the Kirkland data center with many prospect customers in the wings, hence EBITDA and CapEx breakeven is postponed to fiscal 2016. From a strategic point of view, we are entirely focused on optimizing the results of our existing operating companies and entirely focused on reducing our debt-to-EBITDA ratio to three times by August 31, 2015. Turning now to COGECO Inc., advertising spending has been a little slower than anticipated in the third quarter in the province of Quebec but nonetheless, we have managed to do well due to management's vigilance. In conclusion, our fiscal 2014 guidance has been reduced essentially only to reflect the IPTV write-off with all other indicators pointed in the right direction. And we are, as you have seen, now in a position to provide preliminary guidance for fiscal 2015 which is resulting in low double-digit cash flow growth. And as always, we continue to focus on delivering results. We would now be happy to answer your questions.
Operator: (Operator Instructions) Our first question comes from the line of Mr. Jeff Fan from Scotiabank. Please go ahead sir.
Jeffrey Fan - Scotiabank: Couple of housekeeping questions and then a sort of operational question. Just in the guidance, what is your assumption for FX for U.S. dollar and GBP for fiscal '15? I am wondering what's implicit in your numbers there.
Pierre Gagné: We are using 1.10 for the U.S. and the UK, 1.8.
Jeffrey Fan - Scotiabank: 1.8, great. And I am wondering if you can just talk a little bit more about the issues that you faced on the TV initiative in-house and why TiVo now you think is better and why this is not going to have an impact in terms of the actual service that you are going to end up delivering to the Canadian customers.
Louis Audet: Sure. I would be happy to comment. First off, we did work with a renowned supplier the identity of which we have never really shared, trying to bring this innovative platform to Canada. And we worked hard at it for a few years and have come to the conclusion that it was simply not going to work. And that it was not worth investing any further efforts in doing so. So we immediately turned to other alternatives. And in the process of course we were well aware of the good success that Atlantic Broadband is enjoying in the marketplace with the TiVo product. So it was relatively easy to rearrange our strategy and go for the TiVo product which is a quite innovative product. They are really a world leading force in bringing futuristic television viewing options to cable customers and allowing content to be viewed whether it is linear content, on-demand content, whether it's over the top content, can now be viewed on television, on the iPad, on the Smartphone. And they have developed a platform that allows us to do that seamlessly. All this content can be viewed on the same platform seamlessly. So we are quite pleased actually with the way we are managing to steer the ship towards enhanced viewing services for our customers all through what is probably one of the best innovative customer user interfaces available currently.
Jeffrey Fan - Scotiabank: What is the -- is it going to be a similar model relationship with TiVo that you have in the U.S. that you are willing in Canada in terms of cost and pricing of the equipment?
Louis Audet: Yes, it's pretty much subject to refinements here but the general idea is the same kind of relationship. But of course the volumes are higher so of course the capital cost per unit will be lower.
Jeffrey Fan - Scotiabank: And just finally. You mentioned some benefits that you are seeing in ABB with the TiVo launch. Can you talk a little bit more about, specifically where you are seeing the benefits? Because I guess the subs -- you are still seeing some decline in subs. Wondering if there is some details behind the numbers that you are confident about on those benefits.
Louis Audet: Well, without going into too much detail which are not really disclosed here, but we have managed to reduce those video losses significantly, if you compare. And we are having good success. We are bringing in new PSUs when we sell TiVo service. We haven't said how much, how many, we are not ready to do that. But we are quite pleased with the outcome and we are very excited that we are able to bring this to Canada.
Operator: And your next question will come from the line of Mr. Vince Valentini from TD Newcrest. Please go ahead sir.
Vince Valentini - TD Newcrest: I have a couple more questions on TiVo but first I am going to just ask about free cash flow guidance for this year. Correct me if I am wrong, Pierre, but you have done $253 million year-to-date and your guidance is still $240 million. So are you explicitly guiding to negative free cash flow in the fourth quarter or are you just sort of being conservative perhaps.
Pierre Gagné: Well, we are going to have -- if you look at CapEx compared to target, they are somewhat lower. So then what we were anticipating after nine months. So I think there will be some catch up on Q4, that’s the expectation. So I don’t think you will see much of a gain in Q4 or positiveness in terms of Q4.
Vince Valentini - TD Newcrest: Okay. And TiVo -- sorry, you said something else?
Pierre Gagné: Yes, sorry. So strictly view on the CapEx front not on the operating results.
Vince Valentini - TD Newcrest: Okay. No, that’s fair. TiVo, excuse my naivety but just wanted to make sure I understand this. When you are saying you are scrapping IPTV, are you still like longer term thinking that sort of MPEG 4 broadcast delivery would be phased out and you would go to an IP based delivery system because it's more efficient but just the near term platform for consumers is going to be TiVo as opposed to the other product you are working on? Are you saying it's TiVo forever and you never migrate to IPTV?
Louis Audet: No, I think we would never say never. All we are saying is, here is a superior product that’s currently in use at Virgin Media in the U.K., at ONO in Spain, at Com Hem in Sweden, and one that is used by at least half a dozen mid-sized operators in the United States including Atlantic Broadband. That has proven its value and is appreciated by customers. Eventually, all of us, we are convinced, will have to have all of what is all of the data circulating on the cable system will be in IP form. For the time being, where we are now, is that all of the signaling takes place in IP form. The over the top content arrives in IP form. The communications between the set-top box and the Smartphone or the tablet are occurring in IP format but the video continues to be delivered to the box, to that very same interface in QAM from, in quadrature amplitude modulation form. But these things evolve and they will continue to evolve.
Vince Valentini - TD Newcrest: Okay. That’s helpful. Thanks, Louis. And last one, just on the cost structure. Can you clarify for me, does doing a deal with TiVo mean that you basically shift some CapEx into a recurring operating expense for fees you pay to them or is that not the case? Because obviously your margins in the U.S. took a bit of a hit this quarter and you mentioned the TiVo launch. Is that just startup launch cost or is that a new cost structure where you basically have higher, call it maybe fees to them that are OpEx as opposed to things that would normally be CapEx?
Pierre Gagné: The way it's structured, for most of it it's related to CapEx.
Louis Audet: What you have seen at ABB is temporary in nature, Vince.
Pierre Gagné: The launch cost, some of it will be expensed of course, but in terms of, if you want the infrastructure, the box and whatever is around that, most of it will be CapEx.
Operator: And your next question will come from the line of Mr. Dvai Ghose from Canaccord Genuity. Please go ahead.
Dvai Ghose - Canaccord Genuity: If I could just come back to this IPTV question. I guess I am not tremendously surprised that you have abandoned it. When I have spoken to some of the leading vendors, they have suggested that the key challenges for a cable co to overlay IPTV is the enormous capacity required to run in parallel a legacy network and an IPTV network for the foreseeable future as you swap every set top box in every home. The complexity of the systems integration, the fragmentation of the approach where every cable co is going separately in Canada and you have no leadership from the large U.S. cable cos, and the fact that video is a declining business in its traditional sense so why pay for it. Were these three or four of your considerations in terms of abandoning it?
Louis Audet: Well, quite frankly I think we were perhaps guided by more immediate concerns. We came to the conclusion that the intelligence to make it work was simply too complex. That probably we were tackling an idea ahead of its time, as brilliant as it might have been. Now having said that, we are in a very enviable position. Because, as I indicated earlier, all of the signaling and the Internet content which is available to the box over the top content is arriving in IP form and through the very same TiVo interface the linear and on-demand content of our cable systems is arriving in quadrature amplitude modulation form. And what this means is that you can have a very high performance Internet service without eating into the capacity of the video system, which of course our competitors -- an advantage our competitors don’t have. Our competitors have limited bandwidth with their IPTV services, such that if Internet takes up too much space, they start degrading the TV service. So this is a huge advantage that all cable operators have and hence we are able to deliver the same video quality, that’s quality of picture and not impede on the Internet performance. So that’s very, very, a very compelling advantage. So essentially we have the best of both worlds. So when the intelligence can be made to work, I am sure we will transition gradually and where probably TiVo will want to help us transition when the time is right. But it is not a requirement for a cable company until such time as you think that your bandwidth has to be rearranged for because you need more. But until such time as that event presents itself in time, you can very well function the way we are proposing to do. It's a high quality video service. High quality, the best in fact, Internet service. The video service is one of the most evolved that you will find anywhere in cable systems today. With a friendly user interface, you will navigate seamlessly live, recorded, on-demand and over the top television content without having any changes or identification to make. You will have a rich multi-screen customer experience that allows customers to view it on their TV sets, on the tablet, on the Smartphone. They can actually record it and take it out of home with them. All of this with a universal search tool and recommendation engine that allows the discovery of all types of content. So I think this is very exciting. And the limitations that we came across are in no way impeding us in our quest to offer the very best to our customers.
Dvai Ghose - Canaccord Genuity: No, that’s very fair and you obviously have some experience with the product. Just two quick follow-ups, if I may. Just in reference to the last question as well. I am not quite sure how your TiVo agreement in the U.S. works in terms of, is it just CapEx, is there a revenue share element? Is the margin pressure just because of the marketing of the product? Seems there is no revenue share. Am I correct there and should we expect any temporary disruption in Canadian cable financials in the second half of fiscal '15?
Louis Audet: So, first off, I will not confirm the nature of the financial agreement between TiVo and ourselves but I will confirm that what you have seen at Atlantic Broadband in the course of the current year is temporary expenditures to launch TiVo in the context where marketing budget at Atlantic Broadband had historically been lower than they are and have been in our Canadian operations. So I would not expect the same disruption to our Canadian operations.
Dvai Ghose - Canaccord Genuity: Right. It was private equity owned and so on so that makes sense. The last question is on the enterprise division. So I just want to quickly revisit this 3 million non-recurring charge because the language talks about billing and rebates and so on. So is it simply that there was some accounting areas that needed to be done? I know you are largely pleased with the fact or satisfied with the fact they are behind us. Or given the backdrop of everyday reading an article about cloud computing, prices falling and so on it has nothing to do with the rebates to the customer just to keep them or anything, does it?
Pierre Gagné: No. It's not rebates. If I may put a little bit more color into it, of the 3 million, about a third is relating to credit notes to customers. The billing system that they have is fairly complex and created some, if you want, inappropriate charge. So we have cleaned that up as part of both C-198 and proper day-to-day carrying of the operations. And the other two-thirds are onetime charges that needed to be done that are not recurring. So I think that we should take that or we should be mindful of the fact about that when we look at the growth in revenue and the EBITDA margin.
Dvai Ghose - Canaccord Genuity: And just a last one if I may. Pierre, ex the FX, can you give us an idea as to the enterprise growth on revenue because the 15% was obviously helped by the stronger U.S. dollar year-over-year.
Pierre Gagné: So if you compare with last year, last year it was about 1.02. So if you go on page 12 of the press release, so we are at 1.10 against 1.02 in the quarter. So roughly speaking of 6%-7%. And of the Peer 1 revenue, roughly speaking about 60% of Peer 1's revenue are coming from the U.S., about 15% from the U.K. and the remainder is based in Canada, about 25%.
Dvai Ghose - Canaccord Genuity: Beautiful. Thanks very much.
Pierre Gagné: You could do the math there.
Louis Audet: The key around enterprise services is that this C-198 readiness exercise had to be done. We think we have unearthed the key elements that needed to be corrected. This does not exclude that possibility that further adjustments might be necessary but at this stage we believe that everything that is of importance has been catered to.
Operator: And your next question will come from the line of Mr. Glen Campbell from Bank of America Merrill Lynch. Please go ahead.
Glen Campbell - Bank of America Merrill Lynch: Starting on the TiVo platform and capital expenditure outlook for next year. Should we think of there being some spending needed to get the Canadian platform in place from a CapEx point of view or is it pretty much plug and play? And then how are you thinking this is going to roll out? It sounds like a great product. It sounds like there might be a lot of demand. Can you give us a sense of how rapid a take up you're thinking is likely for 2015 and from a marketing perspective how you sort of walk that line between incurring a huge amount of capital expense on the one hand and, let's say holding back what would be a very attractive piece of hardware and a retention tool on the other?
Louis Audet: In the process of working on the former project, we had in fact done a lot of the work that is necessary to put TiVo in place. So I wouldn’t describe it as simple as plug and play because we do have some interfaces to construct to our billing and authorization system. But let us say that a good part of the work has already been done thus facilitating our work. Now in terms of marketing and in terms of specific content. We think it's too early right now to discuss that and discuss how we are going to proceed. But I would expect us to gradually start rolling out the TiVo service within the first half of fiscal 2015.
Glen Campbell - Bank of America Merrill Lynch: Okay. That's great. Thanks very much. And on a different topic, I guess you'd expressed some interest, I guess, through your regulatory filings in being an MVNO. And I was wondering if you could talk a little bit about that? Whether that's something that's, say, still something that's of interest to you and whether with the Internet gateways that you provide your customers, are you anticipating a move to the sort of home spot model that we see in the U.S., say with Comcast or in Europe with Liberty Global?
Louis Audet: I think all of us are moving to a home spot concept and I think all cable operators are going to Wi-Fi offering throughout their franchises. Some people are going very quickly, some people are going less quickly, some are being are blanketing the territory, some like us are rather going towards public places. So there is a number of approaches but I would say everyone is going in the same direction. Now having said that, I don’t think you should read too much in our regulatory filings. I think what you should read is that if the conditions are right and this becomes a valid business in its own right, then we are interested. But if the conditions that come out do not allow that, then we don’t really feel pressured to do it. I think that’s how you should approach it.
Glen Campbell - Bank of America Merrill Lynch: Fair enough. And maybe just one last one on the home spot model. So if we're of moving towards a world where the customer has their own, say, dedicated Wi-Fi connection and the box also enables a semipublic one, but I would say the Canadian cable offers at the same time have been quite progressive in this sort of tiered notion of bandwidth usage. How do you reconcile those? How do you on the one hand charge the customer for going beyond a certain level of bandwidth and on the other hand enable anyone who's an authenticated customer to draw down bandwidth from the same box?
Louis Audet: Well, you see these boxes allow parallel independent streams, up to seven of them. So this is not an issue, this is a not a problem. You can monitor and each customer has his own identity, whether he is in his home or not. So this is very easy to monitor and do as you please with it.
Glen Campbell - Bank of America Merrill Lynch: Okay. And this is something you're deploying currently?
Louis Audet: We are not quite there although we are deploying Wi-Fi. But I expect we will be in the not too distant future.
Operator: And your next question will come from the line of Mr. Rob Goff of Euro Pacific Canada.
Robert Goff - Euro Pacific Canada: You had indicated, Louis, that by going through your IPTV exercise you had done some certain investments in grooming in the infrastructure that would carry over as a benefit. Could you give us any idea of the scope of the investments that carryover in and above that $32 million charge?
Louis Audet: I think that’s an excellent question, Rob. I am not sure we are going to answer it this morning though, I apologize.
Pierre Gagné: Yes, but Rob, just so you know, in the $32 million there is nothing related to what you are talking about. It's above that. So just wanted to outline that. So it was more of a generic nature in terms of a capital expenditure that we are done. So it was not related strictly to the IPTV, if you want, infrastructure. So as for the amount, we won't disclose it because it's been part of our CapEx. But the $32 million is strictly related to the IPTV projects. So it's a nuance I want to put here in your question that you had just asked.
Robert Goff - Euro Pacific Canada: Okay. And then if I may, on another question which is going back to Glen's question in a different way, perhaps. Can you give us a better perspective on what influences you are seeing in wireless local loop as that pertains to your existing telephony business. Is it an increasing pressure or is it sort of maturing?
Louis Audet: Well, I think there is moderate pressure and there is no doubt that it is maturing. But as you can see from our numbers, it's not dead and we are putting up a good market fight to keep the customers growing. I guess we will have to see how this turns out ultimately but I wouldn’t categorize this game as over yet. Nowhere near that.
Operator: And your next question will come from the line of Mr. Maher Yaghi from Desjardins Securities. Please go ahead sir.
Unidentified Analyst: Hi, it's [Ben Rosenberg] (ph) calling on behalf of Maher. Just had a quick question on the TiVo. I was curious if there is any functionality on the TiVo platform that was not available on our previous program that you dropped. And if so, when do you plan on building it or are there any additional investments that have to be made to ensure competitiveness.
Louis Audet: Well, in fact, it's quite the opposite. The way this has turned out, TiVo has all of what we wanted and more and we are delighted with that.
Unidentified Analyst: Okay. Great. Switching topics to Peer 1, just having it under the enterprise business. I was curious if there are any changes to the way you guys are managing the business? Is there going to be more consolidation within the data services and Peer 1?
Louis Audet: Well, I will point you to a discussion we have had previously on this subject. The two companies are quite different in terms of the customers they address. Cogeco Data Services addressing typically very large customers who transport high volumes of data in Montreal or Toronto, between Montreal and Toronto, and who are looking for colocation services in Toronto and pretty soon in Montreal. These are typically very big customers. Whereas Peer 1 Hosting caters to midsize customers which are usually recruited through advertising on the Internet and who are seeking solutions for ecommerce where our expertise helps them make their ecommerce a reality. So they are quite different. What you see though is perhaps more attention paid now to making sure that the CapEx is unduplicated in given markets. You are going to see perhaps more disciplined decision making. But the essence of both businesses is different and it's all about selling to these two very different customer segments. So this is not an integration play, this is a growth play.
Operator: (Operator Instructions) And our next question will come from the line of Mr. Tim Casey from BMO Capital Markets. Please go ahead sir.
Tim Casey - BMO Capital Markets: Louis, can you share with us what you've learned so far from the customers that you've retained or obtained through TiVo? What about it is attracting them? And second, just switching to the regulatory file, the TV hearing begins shortly. I'm just wondering if you could offer us some perspective on what you think the outcome of this hearing is going to be. Thanks.
Louis Audet: All right. Well, starting with TiVo. I think what you are seeing right now at Atlantic Broadband is people are frankly exciting, pardon me, excited by the flexibility and wide reach and access to whether it's the liner, whether it's the on-demand, whether it's the pre-recorded by them or whether it's over the top content. Such that really consumers today can navigate anywhere within that universe without restrictions. And to the perennial question, what am I going to watch tonight, the service actually offers you a series of alternatives drawn from these four sources, linear, on-demand, recorded and over the top. And that in itself makes for a very exciting experience. And that is what essentially that’s what's making the difference. Now turning to your question about let's talk TV. You know I would be hard pressed to predict what the outcome will be, but it does make sense that smaller packages must be provided to consumers because that’s what they are asking for. And anyone who tries to defy the consumer and not give them what he wants, ends up paying the price and sometimes with very dire consequences. So we have to please the customers. We have to give them what they want and we are determined to do so. We think that’s what's important regardless of the outcome is that we manage to maneuver within our affiliation agreements such that we can preserve and enhance our EBITDA. And we think that can be achieved. Hence our position from the early start almost three years ago now that we were favorable to the idea of pick and pay in smaller packages because we think this can work and we have made it work in Quebec. So that’s why we are confident. You will have seen from a number of press clippings that, and this is quite interesting, that in fact virtually all cable operators are saying that one operator in particular has a very punitive penetration based rate card and that that is the major impediment to pick and pay and I think they have hit it on the nail. And you can glean that if you go through all the submissions that have been filed with the CRTC. So probably that will be under review because a sensible outcome must occur. Now what you see in Canada today is, I would say in typical Canadian fashion is sort of a rallying of different interest groups to arrive at a solution that fits consumer demands. You don’t see that in the U.S. today although customer demand for it is there and you will see the political process in the United States, it's a little more complicated because of the elections and things of that nature. But you will see the same thing arrive in the United States, perhaps don’t see it as much in the European countries because the cost of programming is so much lower that in some cases the cable systems are actually paid to carry the content. So you don’t really see that trend in Europe. But I think in, certainly North America, not too familiar with south, you are going to see that and it's going to happen.
Operator: And your next question will come from the line of Mr. Drew McReynolds from RBC Capital Markets. Please go ahead sir.
Drew McReynolds - RBC Capital Markets: Just two questions from me. Just on your telephony subscriber performance in the quarter. Little bit better than what you did in the first half of the year. Just wondering if there's anything seasonal or unusual in the quarter on that front. And then my second question, just with respect to your CapEx guidance, seems like you're kind of coming in at that 420 million-430 million in annual CapEx. Your CapEx intensity in the low 20s. Just wondering as you kind of look more over the medium-term, is this a CapEx level that you're comfortable with? The only reason I ask is there's many moving parts to your business, more so than I think, certainly some other players. So just would love to get your thoughts on the sustainability at this level. Thanks.
Louis Audet: Well, I will answer the question on telephony. No, there have been no particular offers on our part although we do continue to fine tune our methods and to better understand how we can sell better. But there has been nothing exceptional, to answer your first question. And Pierre will answer the second.
Pierre Gagné: Yes, thank you, Louis. So just as a reminder, if you remember on Q1 and Q2, partly Q2 but Q1, we had a special promotion that was dating back that ended depending on the situation, one year or two year. And we had some disconnect as a result of these promotions. Now with respect to the CapEx, the level should remain around that number for the couple of years. After that it's very difficult to predict as to what demand will be and so on so forth. So you shouldn’t be surprised to see that level over the next couple of years.
Operator: And your next question will come from the line of Mr. Greg MacDonald from Macquarie Securities.
Greg MacDonald - Macquarie Securities: Questions on high-speed data. Looking at the subscriber profiles, it's not only for COGECO but for the industry as a whole, it seems like the only real growth area is high speed data. And part of that is the success that you're starting to have in business services in Canada. Can you talk a little bit, Louis, about the profile of the subscriber growth? Is this a situation now where you're actually still losing customers on the consumer side of the business but growing it on the business side of it? And to the extent that there is success in business, what kind of ARPU does business have and does that suggest if you're growing the business side of it that there's a lot more upside to the overall ARPU that we all calculate in the model? Thanks.
Louis Audet: There is absolutely no doubt that there is more upside on the business, ARPU side of the business, because we are only still at the beginning of this story and our services are only starting to become more sophisticated. So in that sense I think your categorization is the right one. We are just at the beginning and ARPU's in business will rise. However, I will say that we are still enjoying good Internet subscription success both in the residential and in the business side. And as you know, we continue to offer superior product. Currently our top product right now is 120 megabits per second unlimited tonnage and this is drawing great interest. So what you see now is residential customers continuing to leave our competitors to join us. And what you see our existing customers continuing to gradually move up in the packages they use because of course they want to have access to the more sophisticated, over the top and what have you. So these are the driving forces.
Greg MacDonald - Macquarie Securities: And so I think what you're confirming, Louis, is that there's positive high-speed data subscriber growth in both consumer and business. Is that right?
Louis Audet: Yes, that’s correct.
Greg MacDonald - Macquarie Securities: And can you tell us what your average ARPU is on the business side?
Pierre Gagné: We haven't disclosed this number, Greg. Sorry about that.
Operator: And your next question will come from the line of Mr. Phillip Huang from Barclays Capital. Please go ahead.
Phillip Huang - Barclays Capital: Just a quick one from me. Can you remind us what percentage of your footprint in Atlantic Broadband that is exposed to IPTV relative to Canada? TiVo seems like a very promising product, but just wanted to compare the level of competition to assess if you could expect the same level of success in Canada as you're starting to see in the U.S.
Louis Audet: Well, currently in the U.S., 23% of our footprint is exposed to fiber-to-the-node. With video product that is not as exciting as what TiVo offers and there are plans by AT&T to wire in the city of Aiken, South Carolina. That might raise it to 31%.
Phillip Huang - Barclays Capital: And how would you....
Pierre Gagné: And just to finish, we have FiOS of 4% of the U.S. footprint, that’s it. So 73% of our footprint is DSL with the resale of satellite.
Phillip Huang - Barclays Capital: Right. Okay. And so in the fiber to the node, how would you compare the IPTV on fiber to the node that in the U.S. product versus, say, where in your footprint where you're seeing Bell IPTV, (indiscernible) TV? Like is it the similar speed offering and also similar TV experience, would you say? I know it's the same media room product set.
Louis Audet: The Internet experience is clearly pleasurable on our competitors than it is on us and our customer interface with TiVo is also more evolved.
Phillip Huang - Barclays Capital: Right. Sorry, my question was more comparing sort of the IPTV and Internet experience in the U.S. versus Bell, if there's any difference at all. I know...
Louis Audet: Well that’s what I am trying to say. Now what is it I am not getting right?
Phillip Huang - Barclays Capital: No, because you were comparing the experience between your TiVo product in the U.S. versus the AT&T fiber to the node experience. I was just wondering if the -- I know it's on both AT&T as well as Bell are on the media room platform but was just wondering if you've noticed any difference at all, whether it be customer service, whether it be Internet speeds versus what Bell is currently offering within your footprint?
Louis Audet: Well, I think what you would find is that the level of services of phone companies in the United States is not quite as up-to-date as it is in Canada. That’s the most I could say.
Pierre Gagné: So we will take one last question if there is one last.
Operator: Okay. Your final question comes from the line of Mr. Glen Campbell from Bank of America Merrill Lynch. Please go ahead.
Glen Campbell - Bank of America Merrill Lynch: Thanks for fitting me in. So CapEx running well below target in Canada. For Q4 there are specific items that might bring it up higher closer to your guidance?
Pierre Gagné: I think it's more timing related than anything else. I don’t think we should read too much about this. Certain projects may take longer to start. There are variety of reasons. But we are still on track to finish to the number we have set in our guidance. So that’s what, relating it to the question of Vince earlier in the call, Vince Valentini at TD Newcrest. He was asking us if the free cash flow would be breaking even or being a bit negative, it's that the CapEx in the Q4 would be higher. So there has been some shift in between quarters but we are still on target for the number. I just want before we end the call to correct what I have said to Jeff Fan of Scotia Capital Markets with respect to the U.K. or the pounds against the Canadian dollar for the 2015 budget. I had said it was $1.80 and my apologies, we will use $1.70. So I just want to correct this information and apologize again. So that’s all for us. Thank you very much and of course Andrée Pinard and myself are available to answer any further questions that you may have. Thank you and have a great day.
Louis Audet: Have a great summer. Bye.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line and have a great day.